Operator: Greetings, and welcome to AutoZone, Inc.'s second quarter 2026 earnings release conference call. At this time, all participants are on a listen-only mode, and a question-and-answer session will follow the formal presentation. If anyone should require operator assistance during the conference, and please note this conference is being recorded. At this time, I would like to play the company's safe harbor statement. Before we begin, please note that today's call includes
Brian Campbell: forward-looking statements that are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future performance. Please refer to this morning's press release and the company's most recent Annual Report on Form 10-Ks and other filings with the Securities and Exchange Commission for a discussion of important risks and uncertainties that could cause actual results to differ materially from expectations. Forward-looking statements speak only as of the date made, and the company has no obligation to update such statements. Today's call will also include certain non-GAAP measures. A reconciliation of GAAP to non-GAAP financial measures can be found in our press release.
Operator: Thank you. With that, I would like to turn the conference over to your host, Mr. Philip Daniele. Sir, the floor is yours. Thank you.
Philip Daniele: Good morning, and thank you for joining us today for AutoZone, Inc.'s 2026 second quarter conference call. With me today are Jamere Jackson, Chief Financial Officer, and Brian Campbell, Vice President, Treasurer, Investor Relations, and Tax. Regarding the second quarter, I hope you had an opportunity to read our press release and learn about the quarter's results. If not, the press release along with slides complementing our comments today are available on our website, www.autozone.com, under the Investor Relations link. Please click on Quarterly Earnings Conference Calls to see them. To start out this morning, I want to thank every AutoZoner across the company for their commitment to delivering on the first line of our pledge: AutoZoners always put customers first. Our results would not be possible without us always asking what the customer needs and how we can meet those needs more efficiently day in and day out. It is our AutoZoners across the stores, supply chain, our 8.1% this past quarter. To start this morning, we will address both our sales results and provide an update on our growth initiatives. We will also discuss our domestic and international results and break our sales results down between traffic and ticket growth. To address what inflation has meant to both our ticket growth and our sales growth. We will also share regional disparities where they exist. And finally, our outlook and how we expect the year to unfold as we enter our spring and summer selling season. For the second quarter, our total sales grew 8.1%, and similar to the first quarter sales growth, while earnings per share decreased 2.3%. Similarly to our experience in the first quarter, our gross margin, operating profit, and EPS were negatively impacted by a non-cash $59 million LIFO charge, which had a material impact on our margins and EPS. Excluding this LIFO charge, our EPS would have been up 7.1% versus last year's Q2. We also delivered a positive 3.3 total same store sales on a constant currency basis, with domestic same store sales growth of 3.4%. Our domestic DIY same store sales grew 1.5%, while our domestic commercial sales grew 9.8% versus last year's Q2. I will pause here to reiterate what we said during our last conference call. Q2 is always our most difficult to forecast due to the less predictable winter weather patterns, and this quarter was no exception. While our commercial sales increase was below our expectations, our results were negatively impacted due to the winter storms across much of the country during the last four-week segment of the quarter. To add a little more color around the impact the storms had on our domestic commercial sales, the two weeks the storms really impacted us, weeks 10 and 11, our commercial sales were up just over 1%, while the other 10 weeks of the quarter our commercial sales were up over 12%. International same store sales were up 2.5% on a constant currency basis, and our unadjusted international comp was 17.1% as exchange rates positively impacted our comps by nearly 15 points. Jamere will provide more color for you on the foreign currency impact on our financial results for both this quarter and the upcoming third quarter later on this call. We opened 64 stores globally this past quarter versus 45 in last year's second quarter to finish with 6,709 U.S. stores, 913 Mexico stores, and 152 Brazil stores. We have now opened 342 new stores on a trailing four-quarter basis versus 241 new stores on a trailing four-quarter basis at the end of Q2 last fiscal year. We are now on track to open approximately 350 to 360 stores for the full year versus the 304 stores we opened globally last fiscal year. We continue to be very pleased with the sales productivity we are generating out of our new stores as their sales results are exceeding our models. Next, let me address our sales results in a little more detail. Coming into the quarter, we were optimistic that our domestic store execution would drive sales growth for both retail and commercial. More specifically, we felt we had the momentum we have gained over the last several quarters with our domestic commercial sales would continue throughout the quarter. However, the severe weather experienced across the country significantly impacted our commercial customers, many of whom closed their businesses for several days. Despite this, on a two-year basis, our growth is right in line with last quarter's two-year growth rate. While the winter weather was a short-term drag on sales, I want to stress that we are very excited about our growth initiatives and they are delivering as we would expect. Historically, these types of winter weather patterns have had a positive impact on our summer selling season. As a reminder, extreme weather events drive failure and maintenance events for our customers. Additionally, our domestic retail comp was solid at 1.5%, in line with last quarter's 1.5%. Again, the second quarter is always the most volatile quarter as the impacts of weather and the timing of tax refunds can have an impact on our short-term results. With that said, we are executing as well as we have in many years. I am very excited with what we are seeing in terms of market share gains, and we expect to continue to gain share for the remainder of our fiscal year 2026. Next, I will discuss the quarter's sales cadence. Regarding the 3.4% domestic same store sales, the cadence was 4.1% in our first four weeks, 2.7% in the second four weeks, and 3.5% over the last four-week period in the quarter. Last year, we experienced much colder weather in the middle four-week segment of the quarter, while this year the cold weather came in the last four weeks. As a result, the DIY comparisons were tougher in the middle four-week segment. Regarding our 1.5% DIY comp for the quarter, we experienced a positive 2.3% in the first four-week segment, a negative 0.5% DIY comp in the second segment, and a 2.8% comp during the third segment. Our merchandise categories performed as we would have expected, but the precipitation, especially the ice, that large parts of the country experienced in late January and into early February slowed our business trends. As a reminder, that stretch into the summer months. Cold weather with ice and snow lead to higher failure rates. Regionally, we underperformed the company's overall DIY comp in the Mid-Atlantic and the South Atlantic areas. Also, the West Coast was a little weaker than we would have expected due to milder, wetter, but much less snow than the year before. With regard to inflation's impact on DIY sales, we saw like-for-like same SKU inflation up north of 6% for the quarter, which contributed to our DIY average ticket being up 5.2%. The difference between the like-for-like inflation and ticket growth is attributable to category mix. Based on our inflation expectations, we continue to expect our average ticket to grow sequentially through the third fiscal quarter, which ends in May, and then peak during the fourth quarter as we will begin to lap the increases in inflation we saw price our goods against our weighted in this past year's fourth quarter. I will remind you that we average cost, and we continue to expect those weighted average costs to grow due to the impact from tariffs. We also saw DIY traffic count down 3.6 as traffic in the middle four-week segment was down more than the other eight weeks. As a reminder, our traffic decline was similar in the last quarter's decline. Again, this quarter's difficulty in the middle four-week segment was due to the difficult comparisons with cold weather we experienced last year. I do want to stress here that we expect traffic to improve as ticket growth begins to slow by late summer. We also feel the cold winter and potentially the size of the tax refund season could create upside for us with traffic over the remainder of the fiscal year. Now I will touch on our domestic commercial business. As I mentioned, our commercial sales were up 9.8% for the quarter. The first four weeks grew 10.1%. The second four-week segment grew 12.5, and the third four-week segment grew 7.3. As with DIY, our commercial sales were impacted somewhat during the middle four-week segment due to the weather comparisons we had last year, but we clearly underperformed our expectations the last four weeks of the quarter as the impact from ice and snow accumulation negatively impacted our commercial customers at the end of the quarter as we have already discussed. It was just more pronounced on the commercial side of the business. Our commercial sales results continue to be driven by our improved satellite store inventory availability, significant improvements in hub and Mega Hub coverage, the continued strength of our Duralast brand, and high levels of execution on our initiatives to improve speed of delivery and customer service. We continue to see improvements in delivery times. These initiatives are delivering share gains and give us confidence as we move further into FY 2026. Both the year-over-year inflation on a like-for-like same SKU basis for the commercial business and our average commercial ticket growth were similar to DIY. North of 5% for same SKU inflation and north of 5% per ticket. The weather in the last four weeks of the quarter slowed transaction trends to a slight negative growth over those last four weeks, and that is understandable to us. We continue to be optimistic about reaccelerating transaction growth over the back half of our fiscal year as we remain focused on both growing our customer base and growing share of wallet and sales per customer. Our future sales growth will be driven by share gains and an expectation that like-for-like retail SKU inflation will remain in the mid-single-digit range as we move forward. Now let me take a moment to discuss our international business. Across Mexico and Brazil, we now have 1,065 international stores. As I mentioned, our same store sales grew 2.5% on a constant currency basis behind a continued soft macro environment in Mexico. While we are continuing to gain market share, the economy continues to experience slower economic growth. We expect our sales to reaccelerate as Mexico's economy improves, as we continue to invest in stores and distribution centers. Today, we have almost 14% of our total store base outside of the U.S., and we expect this number to grow as we continue our international store build out. In summary, we have continued to invest capital in driving traffic and sales growth. While there will always be tailwinds and headwinds in any quarter's results, what has been consistent is our focus on driving sustainable, long-term results. We continue to invest in improving product assortments in our stores and improving efficiency in our supply chain, which positions us well for the future. We are investing both CapEx and operating expense to capitalize on these opportunities. This year, we are investing nearly $1.6 billion in CapEx to drive our strategic growth priorities, and we expect to invest a similar amount next year. The majority of these investments will be in accelerated store growth, including hubs and Mega Hubs, placing more inventory closer to our customers. We will continue to invest in our supply chain. Our new Brazil distribution center opened and began servicing stores in Mexico. I am sorry, in December. Our new and much larger DC in Monterrey will be fully operational soon. We will also focus on optimizing our new distribution centers in the U.S. We are in the final stages of our Supply Chain 2030 project, which began in 2019. All while continuing to invest in technology to improve customer service and our AutoZoners' ability to deliver on our promise of Wow customer service. This is the right time to invest in our business, and we believe industry demand will continue to be strong, and we continue to manage our investments with an expectation to achieve strong returns on invested capital. And we will monitor returns carefully to make sure that we are achieving on or exceeding our expectations. Now I will turn the call over to Jamere Jackson.
Jamere Jackson: Thanks, Phil. Good morning, everyone. Our operating results remained strong for the quarter and were highlighted by solid top line revenue. Total sales were $4.3 billion and were up 8.1% versus Q2 of last year. Our domestic same store sales grew 3.4%, and our international comp was up 2.5% on a constant currency basis. Total company EBIT was down 1.2%, and our EPS was down 2.3%. As Phil stated earlier, excluding our non-cash $59 million LIFO charge, EBIT would have grown 7.2% and EPS would have been up 7.1%. Foreign exchange rates positively impacted our results for the quarter. For Mexico, the peso strengthened versus last year's Q2 over 12% versus the U.S. dollar, resulting in a $74 million tailwind to sales, a $23 million tailwind to EBIT, and a $0.95 a share benefit to EPS versus the prior year. We continue to be proud of our results as the efforts of our AutoZoners in our stores and distribution centers have enabled us to continue to grow our business. Let me take a few moments to elaborate on the specifics in our P&L for Q2. First, I will start with a little more color on sales and our growth starting with our domestic commercial business for the quarter. Our domestic DIFM sales were $1.2 billion, up 9.8%. Our domestic commercial sales represented just over 32% of our domestic auto parts sales, and 27% of our total company sales. Our average weekly sales per program were $15,400, up 4.8% versus last year. This quarter, we opened 128 net new programs, including nearly 80 programs in existing stores, which dampened our sales per program growth but will accelerate our total growth moving forward. We finished with 6,310 total programs, and we now have our commercial program in 94% of our domestic stores. Our commercial acceleration initiatives continue to deliver strong results as we grow share by winning new business and increasing our share of wallet with existing customers. We are building our business with national, regional, and local accounts, and we plan to aggressively pursue growing our share of wallet with existing customers while also adding new customers. Mega Hub stores remain a key component of our current and future commercial growth. We opened five Mega Hubs and finished the quarter with 142 Mega Hub stores. We continue to expect to open approximately 30 Mega Hub locations over the fiscal year as our pipeline is exceptionally strong. As a reminder, our Mega Hubs typically carry over 100,000 SKUs and drive a tremendous sales lift inside the store box as well as serve as an expanded assortment source for other stores. The expansion of coverage and parts availability continues to deliver a meaningful sales lift to both our commercial and DIY business. These larger stores give our customers access to thousands of additional parts across the market. While I mentioned a moment ago that our average commercial weekly sales per program grew 4.8%, 142 Mega Hubs continue to drive growth at an even faster clip. We continue to target having approximately 300 Mega Hubs at full build-out. Our customers are excited by our commercial offering as we deploy more parts in local markets closer to the customer, improving our service levels for the quarter. On the domestic retail side of our business, our DIY comp was up 1.5%. Our DIY share has remained strong behind our growth initiatives. We are well positioned for future growth. Importantly, the market is experiencing a growing and aging car park and a challenging new and used car sales market for our customers, which continues to provide a tailwind for our business. These dynamics, ticket growth, growth initiatives, and macro car park tailwinds, we believe, continue to drive a resilient DIY business environment for the remainder of FY '26. Now I will say a few words regarding our international business. We continue to be pleased with the progress we are making in our international markets. During the quarter, we opened 18 new stores in Mexico to finish with 913 stores, and three new stores in Brazil, ending with 152. Our same store sales grew 2.5% on a constant currency basis and 17.1% on an unadjusted basis. While sales growth has slowed over the last few quarters in Mexico due to slower economic growth in the country, we have continued to grow share, and we are well positioned when the economy improves. We remain committed to investing in international expansion, and we are pleased with our results in these markets as we accelerate the store opening pace. As we look ahead, we are bullish on international being an attractive and meaningful contributor to AutoZone, Inc.'s future sales and operating profit growth. Now let me spend a few minutes on the rest of the P&L and gross margins. For the quarter, our gross margin was 52.5%, down 137 basis points versus last year. Excluding the LIFO comparison, we were slightly positive year over year on a gross margin basis, which met our expectations as we offset a significant rate headwind from the mix shift to a faster-growing commercial business. We continue to anticipate benefits from merchandise margins next quarter as well that should help offset the rate headwind of accelerated commercial growth. And a year-to-date total of $157 million. As I mentioned, we had a $59 million non-cash LIFO charge in Q2. We are planning a LIFO charge of approximately $60 million each of the remaining two quarters of fiscal 2026 as we are continuing to experience higher costs due to tariffs that are impacting our LIFO layers. $277 million in LIFO charges that we expect this year compared to $64 million last year. Moving on to operating expenses. Our expenses were up 8.7% versus Q2 last year as SG&A as a percentage of sales deleveraged 18 basis points, driven by investments to support our growth initiatives. On a per store basis, our SG&A was up 3.9% compared to the prior quarter's 5.8% increase as we managed our SG&A per store lower as sales softened in the middle of the quarter. We expect to continue to increase our new store opening pace through 2028 when we reach a total of 500 stores opened annually. For Q3, we expect to open 90 to 95 stores globally versus 84 last year. And for the full year, we expect to open 350 to 360 stores versus 304 net new stores opened in FY 2025. We have been purposefully investing in SG&A in order to capitalize on opportunities to grow our business now and in the near future. These investments will also pay dividends in customer experience, speed of delivery, and productivity, all of which will help us grow market share. We remain committed to being disciplined with our SG&A growth, and as the accelerated new stores mature, we will manage expenses in line with sales growth over time. Moving to the rest of the P&L. EBIT for the quarter was $698 million, down 1.2% versus the prior year. As I previously mentioned, a non-cash LIFO charge reduced our EBIT by $59 million. Adjusting for the unfavorable LIFO comparison, our EBIT would have been up 7.2% versus the prior year. Interest expense for the quarter was $107 million, down 1.0% from a year ago, as our debt outstanding at the end of the quarter was approximately $8.9 billion versus $9.1 billion a year ago. We are planning interest in the $112 million range for the third quarter of FY '26 versus $111 million last year. For the quarter, our tax rate was 20.7%, up from last year's second quarter of 18.4%. This quarter's tax rate benefited 213 basis points from stock options exercised, while last year it benefited 239 basis points. For the third quarter of FY '26, we suggest investors model us at approximately 22.9%. Moving to net income and EPS. Net income for the quarter was $469 million, down 3.9% versus last year. Our diluted share count of 17 million was 1.6% lower than last year's second quarter. The combination of lower net income and lower share count drove earnings per share for the quarter to $27.63, down 2.3% versus last year's Q2. As a reminder, LIFO drove our EPS down $2.66 a share. Now let me talk about our free cash flow. For the second quarter, we generated $15 million in free cash flow versus $291 million in Q2 last year. Year to date, we have generated $645 million in free cash flow versus $856 million last year. The lower free cash generated is due to CapEx and payables timing. Going forward, we expect to continue being an incredibly strong cash flow generator, and we remain committed to returning meaningful amounts of cash to our shareholders. Regarding our balance sheet, our liquidity position remains very strong, and our leverage ratio finished at just over 2.5 times EBITDAR. Our inventory per store was up 8.1% versus Q2 last year, while total inventory increased 13.1% over the same period last year, driven by new stores, additional inventory investment to support our growth initiatives, and inflation. Net inventory, defined as merchandise inventories less accounts payable on a per store basis, was a negative $105,000 versus a negative $161,000 last year, and negative $145,000 last quarter. As a result, accounts payable as a percent of inventory finished the quarter at 110.9% versus last year's Q2 at 118.2%. Lastly, I will spend a moment on capital allocation and our share repurchase program. We repurchased $311 million of AutoZone, Inc. stock in the quarter, and at quarter end, we had $1.4 billion remaining under our share buyback authorization. Our ongoing strong earnings, balance sheet, and powerful free cash generation allow us to return a significant amount of cash to our shareholders through our buyback program. We bought back over 100% of the then-outstanding shares of stock since our buyback inception in 1998 while investing in our existing assets and growing our business. We remain committed to this disciplined capital allocation approach that will enable us to invest in the business and return meaningful amounts of cash to shareholders. So to wrap up, we remain committed to driving long-term shareholder value by investing in our growth initiatives, driving robust earnings and cash, and returning excess cash to our shareholders. Our strategy continues to work as we remain focused on gaining market share and improving our competitive positioning in a disciplined way. As we look forward to the back half of our FY '26, we are bullish on our growth prospects behind a resilient DIY business, a solid international business, and a domestic commercial business that is growing share in a meaningful way. We continue to have tremendous confidence in our ability to drive significant and ongoing value for our shareholders. Before handing the call back to Phil, I want to remind you that we report revenue comps on a constant currency basis to reflect our operating performance. We generally do not take on transactional risks, so our results primarily reflect the translation impact for reporting purposes. As mentioned earlier, in the quarter, foreign currency resulted in a tailwind to revenue and EPS. If current spot rates held for Q3, then we expect an approximate $75 million benefit to revenue, a $20 million benefit to EBIT, and a $0.85 a share benefit to EPS. Lastly, in Q3, we expect LIFO to reduce EBIT by approximately $60 million, impact our gross margin rate by approximately 125 basis points, and our EPS by approximately $2.75 a share.
Operator: And now I will turn it back to Phil.
Philip Daniele: Thank you, Jamere. To wrap up this morning, I want to stress that we are on track for delivering on our objectives for the remainder of fiscal 2026. While we have much more to accomplish this fiscal year, we remain committed to flawless execution and appropriately spending our capital to drive growth and efficiency. We feel we are well positioned to grow both our domestic DIY sales and domestic commercial sales. We also feel that our international same store sales on a constant currency basis will improve, but we remain cautious as the Mexico consumer remains under pressure. We also expect to manage our gross margin effectively while growing our operating expenses in line with our accelerated store opening assumptions. Finally, I want to reiterate that we are putting our capital to work where it will have the biggest impact on sales: our stores, our distribution centers, and investing in technology to build a differentiated and superior customer experience. We will make sure that the capital we deploy produces strong returns. The stores we have opened over the last five years have exceeded the planned sales and earnings we modeled when these sites were approved. The focus areas for FY '26 will remain growing share in our domestic DIY and commercial business and accelerating international top line growth. We do understand that we cannot take things for granted. We must remain laser-focused on customer service, execution, and gaining share in every market in which we operate. We are excited about what we can accomplish over the remainder of the year, and our AutoZoners are motivated to deliver on those commitments. We believe AutoZone, Inc.'s best days are ahead of us. Now we would like to open the call for questions.
Operator: Thank you. At this time, we will be conducting our question-and-answer session. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue, and you may press 2 if you would like to remove your question. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star key. And we do ask that you try to limit your questions to two in the interest of time. One moment, please. Thank you. Our first question today is coming from Bret Jordan with Jefferies. Hey. Good morning, guys. Good morning. Good morning, Bret. Could you talk a bit more about your same SKU inflation
Bret Jordan: expectation? I think you said it would be with you mid-single-digit going forward, so maybe the rest of the fiscal year. But when you think about the second half of the calendar year, do you anticipate continued same SKU price benefit?
Philip Daniele: Yeah. We believe that it will continue to increase over the third quarter and through most of the fourth quarter, and then the fourth quarter is when we will start annualizing those higher rates from last year. But we still see same SKU inflation, you know, kind of similar through third, and maybe slightly tailing off through, you know, the back half of what you said, calendar year. Which would be most of our fiscal year, which ends in, you know, late August, as you know.
Jamere Jackson: Yeah. I think a couple of drivers there, Bret, is, you know, there are, you know, lots of discussion about what is going to happen with tariffs and, you know, obviously, the IEPA tariffs have been stayed at this point. That was a relatively small portion of our tariff bill, if you will. Most of our tariffs are the 232 tariffs. So we are still expecting to see tariff impact as we move through the back half of the year. I think the other dynamic is that, you know, we have talked about this notion of having, you know, a multipronged strategy here where we would, you know, continue to negotiate with our vendors, we diversify our sources, and then in some cases, we will raise our retails. All of the costs that we have seen so far from tariffs have not made its way through the system, which is why, as Phil mentioned, you know, we are expecting tickets to continue to be elevated through the third and the fourth quarters. Just wanted to give a little bit of color on why that expectation is where it is.
Bret Jordan: Okay. Great. And I guess early days here, but a lot of talk about expectations around tax refunds this year. Are you seeing any signs of incremental traction and, I guess, sort of a similar theme, the weather that we have seen here in the last six or eight weeks, I guess what is your near-term outlook on demand creation from that would sort of seem like undercar, some of the seasonal categories might see some benefit?
Philip Daniele: Yeah. I think if you kind of look across the Midwest, the, you know, the Mid-Atlantic, and the Northeast, what we have kind of affectionately called the Rust Belt markets for us. This type of weather that we have had in those markets for winter have always indicated a pretty strong category performance on those markets as you move through spring and summer selling season. So exactly those categories you talked about. Undercar will probably have some improved sales in those markets. Chassis, steering, suspension, anything that is open to the bottom of the car to get rust and salt on it. Those are going to drive maintenance and failure events over the summertime. So we are pretty encouraged by that. Tax refunds, I mean, it is, as you said, early on. That tax season is just now beginning. And, you know, as has been stated in the news, we expect those to be slightly bigger, based on no tax on tips and all that sort of stuff that has been talked about pretty widely in the news. So we think that also bodes pretty well for us through the early part of spring and into early summer.
Bret Jordan: Great. Thank you very much.
Operator: Thank you. Thank you. Our next question is coming from Christopher Horvers with JPMorgan. Your line is live. Thanks. Good morning, guys. So
Christopher Horvers: wanted to follow up a bit on Bret's question. So first, distilling through all the noise of the puts and takes of weather, both good and bad, including, you know, that widespread hit in late January and early February, what do you think the right underlying run rate of your domestic businesses is? And can you also talk about that on the commercial side? I think, you know, people are pretty attuned to the deceleration below 10% on a total DIFM basis.
Philip Daniele: Yeah. And, you know, as I talked about in our prepared remarks, you know, we were kind of running on the previous 10 weeks or so in the quarter. We were up in that 12% range. And then those last two weeks of the quarter were pretty substantially lower, at a 1% comp. So, you know, the quarter was kind of running along at that better-than-double-digit number, and then the last two weeks were pretty significantly impacted. And, again, it was a pretty wide area that stores got impacted going all the way from Dallas, Little Rock, Oklahoma City, all the way across, you know, here in Memphis, Nashville, Louisville, all the way to D.C. had a pretty big impact, pretty significant ice, you know, initially during that time frame. And as you went a little further south, you ended up, you know, I will give you an anecdotal example, most of the schools in Tennessee and Arkansas were shut down for two weeks. I mean, people were pretty much locked in their house for a time frame. So that was a temporary impact. It was late in the quarter to recover it, but, you know, we see nothing that indicates that we are not going to have pretty strong sales growth on the commercial side of the business.
Jamere Jackson: Going forward. Yeah. I mean, you think about it, or think about it. You know, the first quarter results, we expected our second quarter to perform pretty similarly. Excluding sort of the severe weather and the prolonged impacts on both our DIY and commercial business, we would have, you know, printed a number in the second quarter very, very similar to that. I think what is important to us is that our DIY business continues to remain resilient, and our commercial business has sort of snapped back. So the results that we saw in the first quarter, you know, we see us performing somewhere in that ZIP code as we move forward.
Christopher Horvers: And then, you know, Phil, to your previous comments about typical lag of a benefit to the business off a cold and snowy winter. As you think about that benefit, historically, does the business accelerate from that recent trend because of that? And as you think about sequential growth of inflation into the third quarter here, what would hold back the business from not accelerating from what sounds like something in the 4% baseline? Thank you.
Philip Daniele: Yeah. I do not, again, I think the tailwinds that you get from the tougher winter weather in those markets that are impacted, we believe those would be a net positive in the go forward. Now as we move through summer, there is, you know, the other side of the weather equation that we have to have is a normal to hot summer, which we are expecting to have at least a normal summer at this point. So I think all of those are benefits. And, you know, as we said, we expect a slightly larger tax refund season. It will be, we will have to wait and see how that ultimately pans out, but I think those are positive trends for us as we move forward.
Christopher Horvers: Thanks so much. Have a great spring.
Jamere Jackson: Thank you.
Operator: Is coming from Steven Zaccone with Citi. Your line is live. Hey. Good morning. Thanks very much for taking my question. I wanted to ask a question on
Steven Zaccone: pricing on a different way. When we get to peak pricing, how do you think about elasticity of transactions? On the other side? The industry does not typically see deflation, but just help us under your expectations for elasticity of transactions once pricing growth starts to moderate.
Philip Daniele: Yeah. I think we kind of think about the business in three different discrete buckets of types of product. You have got, you know, discretionary product. That business has been pretty tough, although it is slightly better than it has been over, since the pandemic, frankly. Slightly better. But those are probably the more elastic or inelastic categories. Maintenance has a tendency to, sometime be in a higher elevated average ticket growth. You will get some delayed maintenance. Typically, the customer understands that if I delay maintenance, I end up with a failure going forward. And if the part is a failure mode, ultimately, you have to replace it. So there is not a whole lot of, it is break-fix. And that has not really changed over a very, very long period of time. So discretionary gets impacted the most. We would expect, you know, as you get further out from inflationary items in the average ticket, that that business probably recovers a little bit. It is a relatively small percentage of our total overall volume. Most of our business is break-fix, failure, and maintenance business, and those will continue to be pretty strong for us, we believe.
Steven Zaccone: Okay. Thanks for that. My follow-up question on the topic of investments in general. You have been on this journey to increase your hub count, grow SG&A spending. How would you assess where we are in the investment cycle? What inning are we in? How do we think about the pace of some of these investments as we go through the next couple of quarters?
Jamere Jackson: I would say we are in the middle innings. You know, one of the things we highlighted was that we expect to, by FY '28, to grow our domestic store count by 300 stores a year. And, you know, we are going to continue to ramp there. That means an incremental 40 to 50 stores next year, and then the following fiscal year. So we are kind of in the middle innings of that ramp. What I will say is that our pipeline is very strong, and the stores are ahead of our pro forma in terms of our performance. So we like the, you know, we like the progress that we have made. We like the sales growth that we are seeing. We like the market share gains that we are getting from that. It has put some pressure on our SG&A as we have been very transparent about, probably to the tune of 1.5 to 2 points. But, you know, we are managing the rest of the SG&A in a very disciplined way. So, you know, as we move through, you know, I expect this to result in a, you know, a faster-growing top line business and a faster-growing EBIT business as a result of it.
Operator: Understood. Thanks for the detail.
Jamere Jackson: Thank you.
Operator: Thank you. Our next question is coming from Zachary Fadem with Wells Fargo. Your line is live.
Zachary Fadem: Hey. Good morning. First, to clarify, it sounds like weather was about a 1 to 1.5 hit to comp in Q2. Just want to make sure that is right. And then second, when you look at DIY traffic or volumes down about 3.5%, similar in Q1 and Q2, how much of this would you categorize as deferred maintenance? And how should we think about the path and time frame towards getting those volumes back?
Philip Daniele: Yeah. Great. So I think your estimation on what the impact was is kind of right on target of how it impacted the very end of our Q2. As far as, you know, deferred maintenance and that sort of thing, it is always a little bit hard to tell. But we feel like those will accelerate coming into the second half of our year. You know, on the backs of, like we have already said, some of this tax time should, generally speaking, when you get more tax money, or money in the marketplace, customer will reinvest in the car, and they will tackle some of those bigger failure projects. And we believe that that is going to continue into the second half of the year.
Zachary Fadem: Got it. And then, Jamere, it sounds like the SG&A spend is peaking to some extent and should moderate a touch from here. And I think we do, at this point, all have a good sense of what that level spend will be, both in terms of investing in SG&A in new stores. But perhaps you could spend some time talking about the size of the prize in terms of expected returns and payback on these investments? And is it fair to say we would see outsized top line and EBIT growth as soon as 2027.
Jamere Jackson: Yeah. That is certainly our expectation that you will start to see these stores mature and that you will see our top line growth accelerate in FY 2027 and FY 2028. So in terms of size of the prize, you know, in addition to seeing a faster-growing business, you know, you are also going to see a business that has very healthy, you know, returns on invested capital. You know, we model these stores in a very disciplined way even though we are very conservative. And they get to sort of the targeted returns on invested capital in a very, very short period of time. I mean, most of these stores will mature in the four- to five-year kind of time frame. What I will suggest is that Mega Hubs have been, you know, improving their performance over time and are actually doing better, significantly better than what we had modeled. So we feel pretty good about it. And, again, we are very disciplined on making sure that we are driving the returns on invested capital associated with this strategy. And so you will have a faster-growing business, you know, that has, you know, faster-growing EBIT growth as a result of that. But very good returns on invested capital.
Zachary Fadem: Thanks for the time.
Operator: Great. Thank you. Our next question is coming from Simeon Gutman with Morgan Stanley. Your line is live.
Simeon Gutman: Good morning, everyone. My question is morning. There was a comment made in the prepared remarks, growing market share in a disciplined manner. There has been talk about growing EBIT faster. Can you phrase it in terms of margins? Can the margins of the business re-expand? Or should we think about it in terms of EBIT dollar growth?
Philip Daniele: Yes. Good question. I will say, you know, we kind of think about how we manage margin rate on the two sides of the business. What I would say is I think we can incrementally grow both of them. You know, you start at the highest level of margin, gross margin rate, both on DIY, we have slight margin improvement, and we think we can improve gross margin in the commercial side of the business over time as well. Now we still believe that we are going to grow commercial faster than DIY, so you will end up with some margin mix pressure. But we are okay with that because at the end of the day, that commercial business throws off a pretty good amount of operating profit and EBIT. So there will be a little bit of top line margin pressure because of mix, but overall, to Jamere's point, we will have a faster-growing EBIT business as these stores mature and as we move forward. We believe we are growing share on both DIY and commercial, and in our international markets. So all of those are, we believe, very, very healthy for us.
Jamere Jackson: Yeah. I mean, if you think about, you know, the way that we have sort of managed the business historically, I mean, in that 18% to 19% sort of operating margin range, we will operate the business in that ZIP code as we move forward. Again, nothing has changed about the way that we think about the operating margin profile of the business. We will have the mix pressure, but one of the things that we have done pretty consistently, and you have seen it the last couple of quarters, is we continue to manage, you know, gross margins with intensity and, you know, for example, this past quarter, we had about 27 basis points of rate pressure purely from our commercial mix. And our merchants and our supply chain have done a really good job of sort of offsetting that and keeping gross margins flat year over year. So that is the kind of operating discipline we have in the company. And as you think about, you know, the business in the future, it is, you know, similar operating margin rates with a faster top line growth.
Simeon Gutman: And I guess to zoom in on the mechanics of that, I realized you do not give a lot of guidance points, but the comp rate of this business that was prevailing that you should grow faster from, is it fair that 3% to 4% is the baseline that you are hoping to grow faster than? I know you have not endorsed a specific number. I do not know if that is a fair baseline to think you are going to grow faster than. It does sound like it is the SG&A tapering will enable EBIT to grow faster, given what Phil said around the margin pressure of mix coming from commercial?
Jamere Jackson: Well, I think you have two dynamics, Simeon. One is, you know, we are clearly adding more stores at a faster clip. As those stores mature, you are going to see that, you know, have some lift to the comp rate overall. So that is, you know, part of the calculus there. And then from an SG&A standpoint, I mean, we will be back to, you know, managing SG&A where we have historically. So, you know, that is what gives us the confidence that, you know, even with a faster-growing commercial business, which is, you know, part of that equation for a faster comp rate, you know, we can keep the operating margins, you know, close to where they have been historically.
Operator: Our next question is coming from Michael Lasser with UBS. Your line is live.
Michael Lasser: Good morning. Thank you so much for taking my question. Given the slowdown in the commercial business attributed to the weather, do not these jobs still get done? And would not that imply the commercial business should have accelerated as meaningfully as the weather improved and if not, does that suggest anything about where AutoZone, Inc. sits on the call list? Meaning, in these times where volumes are more constrained, these commercial customers focus their supplier relationships, outsized volatility on the top call, and that can contribute to in the commercial business for AutoZone, Inc.?
Philip Daniele: No. Michael. I do not think so. I think the impact of the slowing at the end of our quarter was just literally that at the very end of our quarter. Those shops were closed for the most part and did not open. And it was, again, right at the very end of the quarter. We have seen a pretty nice snapback. We are very early in our quarter of Q3. I think what has been true over time is we continue to gain share on the commercial side of the business on the backs of our strategies. Putting more assortment closer to the customer through megs and Mega Hubs and hubs, continually improving our same, our satellite store assortments, and working on strategies that make us easier to do business with and getting those hard-to-find parts faster to those customer shops. We think we are executing very well at that. And we think we have a strategy that will continue to only get better, which is, as we drop these hubs and Mega Hubs, we continue to gain market share, and they also help the satellite stores perform better on commercial. Oh, by the way, we do not talk much about it, but those same Mega Hubs and hubs put that same product closer to the DIY customer as well. So we think we gain over that. Again, I think the impact in the last four weeks was just that. And you will see that we have seen that business recover already. As those shops opened up, we think over time, we continue to move up the call list. Again, we are gaining with both new customers and share of wallet in what we call up and down the street, and in traditionals and national accounts. So we are gaining in all of those segments, and we like how healthy that commercial business is.
Michael Lasser: Thank you for that. My follow-up question is there was anything unique about the operating expense performance in the second quarter, meaning maybe you anticipated this slowdown in sales, so you pulled back on some operating expenses, such that it is going to significantly accelerate from here. And as part of that, if you do see this potential improvement in comps over the next couple of quarters given all the factors that have been discussed today, would you lean in and accelerate some of your investments such that operating expense growth will revert back to this high double-digit rate that was experienced last quarter? Thank you so much.
Jamere Jackson: Yeah. We do not expect to go back to double-digit rates over the back half of the year. Again, the big driver there is we are starting to annualize the accelerated store growth that we had in the back half of last year. So we naturally would have expected the year-over-year growth from an SG&A standpoint to moderate some in the back half. And in terms of the past quarter, there was nothing that we, you know, did that was different from the way that we have always operated the business. We have always sort of, you know, monitored, you know, the way that we manage our payroll with, you know, what we see in terms of transactions. And, obviously, with the severe weather, we had some store closures for, you know, several days, and we had, you know, reduced hours in some instances and fewer transactions. So we just managed the payroll with discipline, but we did not do anything that was outside of the way that we normally operate the business. And then as, you know, as our comps, you know, continue to accelerate, we make sure that we have got the right level of payroll in, and we, you know, continue to manage the business so that we are providing Wow customer service. So we did not toggle anything in terms of investments, and we are not going to toggle any of the investment cadence in the back half of the year.
Philip Daniele: And most of these investments that we are talking about, particularly store growth and DCs, and I would say most of the distribution and supply chain investments, we are over the majority of those, you know, the DC openings and that sort of stuff. But the stores, it is hard to accelerate a store. They are going to open when they are going to open. We, you know, we put the staffs in, get those folks trained before those stores opening. It is hard to move them forward by, you know, 60 days or 90 days just because of the construction schedule. So we will continue to monitor that. But I think what was notable about Q2 is as we had some changes in our individual week-on-week comps, our operators are really good at being able to manage that business based on the flow of customers. That discipline, we are very good at it. We have been good at it for a long time, and we continue to be good at it. We do not expect that to change.
Operator: Thank you. Thank you. Thank you. Our next question is coming from Scott Ciccarelli with Truist. Your line is live.
Scott Ciccarelli: Good morning, guys. Two questions. Morning, Scott. First, still a little bit confused on the cadence differences between DIY and commercial. Like, why was DIY's low point the middle four weeks, if I wrote that down right? And commercial's low point was the last four weeks? And then secondly, as you guys continue to expand Mega Hubs, your Mega Hub strategy and get more experience there, can you help quantify the sales lift you are seeing in stores in a market where you open a Mega Hub? Thanks.
Philip Daniele: Yeah. Sure. We will talk a little bit about—let me answer the first question. On the cadence of DIY versus commercial. The middle part of the middle segment of Q2 last year, you had a pretty significant cold weather event in that middle segment. So it created a tougher comp for those four weeks. Last year, you had some pretty extreme cold, which drove a lot of battery sales and cold weather product last year. So that created a bit of a comp differential this year. That cold weather did not happen in the middle four-week segment. It happened in the last four-week segment. Now the mix of those two—so even though the commercial business was a little bit stronger in that second four-week segment, and we capitalized on that. DIY was soft. Commercial was better. The last four-week segment got the cold weather event which helped DIY, but it hurt the commercial business because we had shops that were closed for so long. So I would say we performed kind of as you would expect from a two-year comp basis. But that specific cold weather comp in the Midwest and the Northeast last year created a comp challenge for us, which was slightly negative on DIY.
Scott Ciccarelli: Got it. And then the question on the Mega Hub, just kind of what kind of halo effect are you guys seeing when you guys open a Mega Hub? And has that changed as you guys continue to expand that strategy? Thank you.
Philip Daniele: Well, yeah, we have never really quantified how much we think those things lift in total. Well, I will tell you this. We have been opening and working on our strategies for hubs and Mega Hubs for quite some time now. And, you know, going back several years, I could go back and tell you we thought we knew how high was high back eight to ten years ago with our strategies. We continue to perform different strategies and execution of tactics around how we deploy inventory to those stores, how we energize the inventory in a given market. You have heard us talk about doing density tests with more Mega Hubs in metro areas. And we continue to optimize and figure out way more ways to make those stores more productive for us. Specifically for commercial, but also on DIY. And we have yet to say we have reached peak performance at our hubs and Mega Hubs. So we like how they perform. They help us, again, on the commercial side, those hard-to-find parts. They help us, our per store four-wall performance, which is how we look at those hubs and Mega Hubs, continues to improve, and they continue to give a halo for the entire satellite network around them that they service. So we like the Mega Hubs and hubs, which is why you hear us keep taking those numbers up. You know, from several years ago from 40 to 100 stores, to 150, to 200, and now we believe we will have more than 300 at full build-out.
Scott Ciccarelli: Got it. Thanks, guys.
Philip Daniele: Those are great performing assets for us. Thank you for the question.
Operator: Thank you. Our next question is coming from Steven Forbes with Guggenheim. Your line is live.
Steven Forbes: Good morning, Phil, Jamere. Maybe just a follow-up question on the domestic comp average ticket trends or, I guess, same SKU inflation trends versus the DIY. What explains the difference in the quarter with DIY being six and DIFM being sub five? I guess, specifically, just trying to figure out if there are any pockets of competitive pricing pressure or if it is sort of mix-oriented as it pertains to national versus up and down the street.
Philip Daniele: Yeah. It is almost all category mix. You know, in the winter events and things of that nature, it drives battery sales, starters, alternators, etcetera. It is the difference in category mix between the two channels. And even the category mix that you get in terms of timing of year, if that makes sense. So that is really what drives that.
Steven Forbes: That is good to hear. And then just a follow-up on DIFM comp transactions. I do not know if you could specifically state what it was during the second quarter. It looks around two, maybe slightly over 2%. And more specifically, like, what was the difference between the first eight weeks from a DIFM comp transaction base versus those latter, those last four weeks?
Philip Daniele: Yeah. The last four weeks, I mean, it was literally the last two weeks that drove the vast majority of the change, was the closings of stores and closings of commercial accounts. Many of them were closed for more than two weeks. And, you know, we kind of had a rolling 400 stores, if you will, starting in kind of west as that storm moved across from Texas all the way to D.C. It was kind of a rolling 200 to 400 stores depending on the day that were closed. And then those commercial accounts stayed closed much longer than that. So that was really what drove that change. Again, 10 weeks of the quarter in commercial were, you know, plus 12 or better. Those last two weeks were a 1. And I would tell you that, you know, later in even the last couple of days, that started to recover the quarter, and it has been back to normal as we would have expected in the very early goings of what is our Q3.
Steven Forbes: So I guess just to clarify that, if we look at the last sort of the last 12 months before this quarter, domestic traffic comps were sort of 6% or so, 6%, 7%. That is the right way to think about the business on a go-forward basis? There is nothing that sort of changes the view on the building blocks and comp to get to that sort of 4-plus percent domestic comp profile?
Philip Daniele: Yeah, I think you are thinking about that right.
Steven Forbes: Yes.
Operator: Thank you.
Philip Daniele: Thank you.
Steven Forbes: Okay. Well,
Philip Daniele: as we conclude the call, I want to take a moment to reiterate that we believe that our industry remains strong and our strategies for growth are working. We are excited about our growth prospects for the back half of the year, but we will take nothing for granted as we understand that our customers have alternatives. We have exciting plans that will help us succeed in the future, but I want to stress that this is a marathon and not a sprint. We remain focused on delivering flawless execution and striving to optimize shareholder value for the future. We are confident AutoZone, Inc. will be successful. Thank you for participating in today's call.
Operator: Thank you. Ladies and gentlemen, this does conclude today's call. You may disconnect your lines at this time, and we thank you for your participation.